Operator: Good morning. Thank you for standing by, and welcome to Riskified's Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note that today's conference is being recorded. I will now hand the conference over to your speaker host, Chett Mandel, Head of Investor Relations. Please go ahead.
Chett Mandel: Good morning, and thank you for joining us today. My name is Chett Mandel, Riskified's Head of Investor Relations. We are hosting today's call to discuss Riskified's financial results for the second quarter of 2025. Participating on today's call are Eido Gal, Riskified's Co-Founder and Chief Executive Officer; and Agi Dotcheva, Riskified's Chief Financial Officer. We released our results for the second quarter of 2025 earlier today. Our earnings materials, including a replay of today's webcast will be available on our Investor Relations website at ir.riskified.com. Certain statements made on the call today will be forward- looking statements related to our operating performance, business and financial goals, outlook as to revenues, gross profit margin, adjusted EBITDA profitability, adjusted EBITDA margins and expectations as to positive cash flows, which reflect management's best judgment based on currently available information and are not guarantees of future performance. We intend all forward-looking statements to be covered by the safe harbor provisions contained in the Private Securities Litigation Reform Act of 1995. These forward-looking statements reflect our expectations as of the date of this call, and except as required by law, we undertake no obligation to revise this information as a result of new developments that may occur after the time of this call. These forward-looking statements involve risks, uncertainties and other factors, some of which are beyond our control that could cause actual results to differ materially from our expectations. You should not put undue reliance on any forward-looking statement. Please refer to our annual report, Form 20-F, for the year ended December 31, 2024, and subsequent reports we file or furnish with the SEC for more information on the specific factors that could cause actual results to differ materially from our expectations. Additionally, we will discuss certain non-GAAP financial measures and key performance indicators on the call. Reconciliations to the most directly comparable GAAP financial measures are available in our earnings release issued earlier today and also furnished with the SEC on Form 6-K and in the appendix of our Investor Relations presentation, all of which are posted on our Investor Relations website. I will now turn the call over to Eido.
Eido Gal: Thanks, Chett, and hello, everyone. We're pleased to report a solid second quarter with performance that reflects both the expanding value we continue to deliver to our global merchant place and our operational discipline. We continue to grow our revenue in the second quarter, primarily through sustained new business wins and robust upsell activity. We also achieved positive adjusted EBITDA for the seventh consecutive quarter. Our entire organization executed well this quarter, and I want to thank them for their hard work. I believe that our results demonstrate the continued strength of our platform and the growing demand for our AI fraud and risk intelligence solutions. I'm encouraged by our performance in the first half of the year. And since our last call in May and through quarter-to-date Q3, we have observed relatively resilient consumer spending. I believe that we are well positioned to improve on our first half results in the second half, supported by our robust new business pipeline and a focus on advancing the AI capabilities of our multiproduct platform. We have remained focused on gaining market share in existing categories and geographies while also expanding into new verticals to further diversify our merchant base and position us for continued growth. We saw consistent international growth in the second quarter with 7 of our top 10 new logos coming from outside the U.S. and across 4 separate categories. In addition, we continue to deepen our presence in nondiscretionary categories such as money transfer and payments, which delivered exceptional year-over-year growth. As the global e-commerce environment evolves and as we continue to expand our visibility across more categories and geographies, it's increasingly clear that fraud is becoming more complex, dynamic and sophisticated. We're seeing fraudsters leverage advanced techniques, including the nascent capabilities of Agentic Commerce to launch dedicated attacks. This growing sophistication further reinforces Riskified's unique value proposition. Our proprietary global data network and powerful artificial intelligence platform is designed to enable us to stay ahead of these emerging threats. While Agentic Commerce remains in the early stages, our R&D teams are already strengthening our offering by developing new capabilities to provide merchants with the visibility they need to embrace legitimate AI shoppers while blocking sophisticated threats. To that end, we recently announced the introduction of multiple solutions and tools designed to advance fraud and abuse prevention in the world of Agentic Commerce. I believe that our deep e-commerce expertise and unique data network will play a valuable role in setting the standard for how Agentic Commerce can grow safely and profitably for merchants. As part of the expansion of our Agentic Commerce capabilities, we also announced a partnership with HUMAN Security. This collaboration combines HUMAN'S AI agent visibility, governance and trust capabilities with Riskified's e-commerce risk intelligence expertise in fraud prevention, chargeback protection and policy abuse prevention. This partnership will leverage our industry-leading AI platform and expansive network insights to secure the next era of digital commerce. In addition to our progress with Agentic AI, we continue to see increased adoption of our Policy Protect product during the first half, driven by new logo wins, cross-sell activity within our existing customer base and across geographies. We continue to invest in product innovation. During the quarter, we launched a new refund abuse model, which is generating an improvement of at least 15% in technical performance compared to the previous model. This new model leverages behavioral features that we are already using in our fraud models to evaluate abusive behavior on an identity level across our network. Our ability to leverage our network of features and insights is just part of what makes Policy Protect so valuable to our merchants. In fact, we've heard this feedback directly from merchants. For example, one merchant recently shared that their implementation of Policy Protect, which allows them to reward their best customers with early refunds was in part responsible for a substantial increase in their customer satisfaction scores. This merchant is focused on improving their customer experience to aid in retention and increase the likelihood of repeat shopping. These outcomes reinforce the type of value and differentiated capabilities we aim to deliver to the market. And as we continue to enhance our product portfolio to intelligently solve a wider, more complex range of use cases for merchants beyond chargeback fraud, we have had success building the pipeline for the remainder of '25 and beyond. Our go-to-market team surpassed their activity levels in the first half of '25 compared to the first half of '24 and is well positioned for an even stronger second half with most second half activity currently expected to convert in Q4. Finally, as a reflection of our confidence in Riskified's long-term trajectory, I'm pleased to announce that our Board has authorized an additional $75 million share repurchase program. This decision reflects our conviction in the fundamentals of the business, supported by strong free cash flow, a debt-free balance sheet and a disciplined capital allocation strategy. In conclusion, we remain confident that our powerful AI platform, global data network and strong balance sheet allows us to pursue our growth initiatives to generate value for our shareholders. I will now turn it over to Agi.
Aglika Dotcheva: Thank you, Eido, team and everyone for joining today's call. Our GMV for the second quarter was $36.4 billion, and our first half GMV was $70.6 billion, reflecting a 4% and 5% increase year-over-year, respectively. We achieved record second quarter revenue of $81.1 million, up 3% year-over-year, and our first half revenue of $163.4 million was up 5% year-over-year. Our GMV and revenue growth during this quarter was primarily driven by continued new merchant and upsell activity. Our 2 largest categories, Tickets and Travel and Fashion and Luxury grew 15% and 10% year-over-year, respectively, driven primarily by strong new business wins and upsell activity. Consistent with recent years, growth in our Fashion and Luxury category was partially offset by continued same-store sales pressure, particularly within our high-end fashion and sneakers verticals. We continue to expect year-over-year growth in both categories to moderate slightly through the second half of the year, reflecting a continuation of the same-store sales pressure observed in the first half and due to tougher comparable periods with respect to the tickets and live event space in the second half of the year. We remain confident that both of these categories will deliver full year growth supported by a strong pipeline of new business opportunities, which we believe will more than offset the same-store softness we have seen. As anticipated, we saw year-over-year declines in our Home category, which contracted by 74%. And consistent with the first quarter, our Money Transfer and Payments category achieved approximately 90% year-over-year growth in the second quarter. This growth was driven by new merchant activity, which continues to be a key area of expansion. The United States declined 11% year-over-year, primarily as a result of the contraction in our Home category. But encouragingly, we continue to grow across all of our other regions. During the second quarter, APAC grew approximately 40% year-over-year and Other Americas, which represents Canada and Latin America, grew approximately 16% year-over-year, primarily due to momentum in new business and upsell activity with particular strength in travel. EMEA grew approximately 23% year-over-year with the strongest performance concentrated in our Fashion and Luxury, Tickets and Travel and Money Transfer and Payment verticals, supported by both new business and upsell momentum. We believe that our continued international growth reflects ongoing progress in capturing market share. Moving to gross margin. Our non-GAAP gross profit margin for the second quarter of 2025 was approximately 50%, consistent with the first quarter and down from 53% in the prior year. Similar to the first quarter, the year-over-year decline was primarily driven by the ramping of merchants in emerging categories such as Money Transfer and Payments and geographies such as Other Americas. The impact of these factors was partially offset by the improvements in our core machine learning models and continued growth in new product revenue. As a reminder, I encourage you to continue analyzing our gross margin on an annual basis, given individual quarters can vary due to various factors, including the ramping of new merchants and the risk profiles of transactions approved. As we progress through the year and have more clarity on these factors, we anticipate delivering an annual non-GAAP gross profit margin of approximately 52% for 2025, which is at the low end of the initial target range set on our fourth quarter 2024 call. For modeling purposes, we currently expect our non-GAAP gross profit margin for the second half of the year to be higher than the first half, with the third quarter to be slightly below 52% and the fourth quarter to be higher than the target. Moving to expenses. We continue to manage the business in a focused and disciplined manner. Total non-GAAP operating expenses were $38.2 million for the second quarter, down from $39.3 million in the prior year. Our non-GAAP operating expenses as a percentage of revenue for the second quarter declined year-over-year from 50% to 47%, reflecting ongoing leverage in the business model. We anticipate having quarterly non-GAAP operating expenses of approximately $38.5 million in the third and fourth quarter. We achieved positive adjusted EBITDA of $2.1 million in the second quarter and $3.5 million for the first half of 2025. Our second quarter results reflect the seventh consecutive quarter of positive adjusted EBITDA. Moving to the balance sheet. We ended the second quarter with $339 million of cash, deposits and investments, and we continue to carry 0 debt. In addition, we continue to maintain a healthy cash flow model. And in the second quarter, we achieved quarterly free cash flows of $5.3 million, up from $4.1 million in the prior year. We expect approximately $30 million of positive free cash flow based on current conditions in 2025, with the majority of the cash flow generation expected to occur in the fourth quarter of the year. As Eido mentioned, I'm excited to announce that our Board of Directors has authorized an additional $75 million of share repurchases, subject to the satisfaction of Israeli regulatory requirements. When combined with amounts that remain available under our existing share repurchase authorization, our total outstanding authorization is approximately $85 million. In the first half of 2025, we repurchased 9 million shares for a total price of approximately $44 million. As a result of our buyback activity and our commitment to prudent dilution management, we continue to expect our share count to decline year-over-year. We believe that our strong balance sheet and liquidity position are strategic assets that provide us with the flexibility to navigate a range of operating environments. We intend to remain disciplined and thoughtful in how we deploy capital to create long-term shareholder value. Now turning to our outlook. As a result of the solid first half of the year, we're improving the bottom end of our revenue range to now anticipate revenue between $336 million and $346 million or $341 million to the midpoint. We maintain our adjusted EBITDA guidance that we reaffirmed on our previous call to be between $18 million and $26 million or $22 million to the midpoint. Overall, I'm encouraged by our solid first half results and execution, and I believe that we are well positioned to improve on this result in the second half. As the e-commerce landscape evolves, our services are becoming more integral to merchants every day. And I believe that our leading market positioning and opportunities to accelerate growth will enable us to realize Riskified's full potential and deliver value to shareholders. Operator, we're ready to take the first question, please.
Operator: [Operator Instructions] Our first question coming from the line of Terry Tillman with Truist Securities.
Terrell Frederick Tillman: I had -- the first question is going to be kind of looking into the second half of the year and assumptions. And then the second one is going to be more of a strategic kind of high-level question on Agentic Commerce. But first, in terms of -- I think you all talked about strong second half sales pipeline, which sounds great. How much though are you assuming converts to business and actually live implementations by the holiday season? And the second part of this first question is, in 4Q around the all-important holiday season, do you think Fashion and Luxury would have positive same-store sales? Or are you assuming flat or down? And then I had a follow-up.
Aglika Dotcheva: Terry, thank you for the questions. I'll take the first one, and I'll pass it to Eido. So thinking through our very solid first half of the year, I'm very happy with the way we performed. And just now being almost 8 months into the year, I'm happy that we're able to flow some of the outperformance. When we think about the back half of the year, there's a number of opportunities in our pipeline. Some of them are already integrated or in a committed stage and probably some part is kind of like towards later in the year, is still in the pipeline. But usually, these are kind of less material to some of the calendar numbers in a way. So overall, happy with the new business with the execution and looking forward to performing in the second half of the year.
Eido Gal: We're expecting win rates or conversion rates similar to what we've seen historically.
Terrell Frederick Tillman: Okay. Got it. And I guess, yes, I mean, we're hearing a lot about Agentic Commerce and what seems like even the discovery process for shoppers during Prime, the multi-day Prime period. There is a lot going on around Agentic Commerce, but it does open up potentially new threat vectors or just creates more complexity. Is this sparking some net new conversations? Or is it helping kind of speed up some of your existing kind of pipeline conversations? Or is it actually maybe something that could be a little bit stymying because, "Hey, this is a new development. We want to get through the holidays before we really kind of embrace this and talk about how you all could help us with this." Maybe you could just share a little bit more on Agentic Commerce.
Eido Gal: Sure. That's a great question. I mean, obviously, it's really a fast-evolving space, and we just want to be there for our merchants and position ourselves as kind of the leader in AgenticTrust. And when you think about what we're actually doing, we're enabling our merchants to identify agentic agents from other traffic and bots and both accept those transactions and create custom rules and policies and approval matrices based on those different agents. And for the agents themselves, we're creating a risk service that enables them to provide a risk-free commerce solution. I think from a pipeline perspective, it's a net kind of benefit for us because both merchants now have more budgets related to solving AI-related hurdles. So that opens up budget opportunity. And it also enables more conversations as merchants want to be at the forefront of this and make sure that they have the right infrastructure to support Agentic Commerce. So we're really excited about that.
Operator: Our next question coming from the line of Will Nance with Goldman Sachs.
William Alfred Nance: I wanted to ask a question on some of the performance you mentioned by vertical. I think you mentioned you had a couple of expectations around a deceleration in 1 or 2 of your verticals, offset by really continued strength on the remittance side. So wondering if you could go maybe just a level deeper and talk through what are some of the recent trends that you've been seeing across the business? And anything to call out or anything that you -- wondering what you're basing some of those same-store sales commentary in the back half of the year on as well? Appreciate it.
Aglika Dotcheva: Will, thank you for the question. So what we've been seeing in the second quarter is some of it is continuation of what we saw in Q1. For example, Travel and Payments performed really well and really strong. And some of the expectations there also kind of to continue this strong performance for the rest half of the year. Some other categories like Tickets have been a little bit softer. It's important to point out Tickets had an explosive growth and it was really, really strong in 2024. We added a number of new merchants there as well. Q4 of last year was exceptionally strong. There was just a variety of events that I believe brought like record tickets for most of our merchants. Looking into this space this year, we've seen some more volatility. Q1 started kind of relatively strong, but this trend softened now in Q2, where we're actually seeing some softness in a number of our merchants in this category, and I would say June was specifically soft. And looking towards the rest half of the year, I think that lapping of the very strong second half of the year in 2024 is going to be just a little bit harder. And in terms of activity and type of events that are lined up, just in conversations with our merchants, like I don't see particular strength that can carry this type of performance that we saw a year ago. So that's kind of like around more Tickets and Travel. In terms of Fashion, we've seen some stability. Same cohort numbers are still negative, but some stability. And we continue to execute there by adding more new merchants and executing on upsell. So that drives some of the growth in this category for us.
William Alfred Nance: That's very helpful. And then just on the OpEx side, OpEx continues to be very well managed and kind of flat to down over time. Just maybe talk through any notable moving pieces in the OpEx space and any line of sight to getting to a point where the OpEx needs to start growing again would be helpful as well?
Aglika Dotcheva: Of course. So we started the year and we -- due to some of the offshoring activities, we kind of mentioned that we expect Q2 to be lower. It ended up slightly bit lower just for a variety of reasons. Some of it is just due to execution of the offshoring, which has been going really well. Some other variances there are more around just timing of backfills and vacation taking, et cetera. So all in all, what I guided is around 38.5% towards back half of the year. I think it's like relatively similar to where we performed in Q2, and I expect this to be our back half of the year kind of run rate.
Operator: Our next question coming from the line of Timothy Chiodo with UBS.
Jing Zhang: This is Jing, on for Tim. I wanted to dig in on Adaptive Checkout offering. So I understand this product not monetized separately, but more as a key enhancement to your Chargeback Guarantee offering. So can you share some of the trends of merchant adoption and whether it helped you win some of the new logos mentioned in this quarter?
Eido Gal: Sure. I'll take that. Thanks for the question. So maybe just taking a step back to refamiliarize everyone, Adaptive Checkout allows us to optimize the end-to-end conversion funnel by both sending smart singles pre-auth to some of the payment processors or card issuers to enhance authorization rates. And it also enables us to kind of VR models run very -- a very smart friction stack on borderline transactions, thus approving more transactions, right? So you can imagine instead of having just a straight 200 basis points of declines, we would send some kind of 100 basis points of those to smart frictions, either that could be an SMS, a 3D secure notification, a request for CPV really depending on the risk characteristics of the transaction. And as we talk to kind of sophisticated enterprise merchants, they love it. It's exactly the type of stuff that they think about, that they try to build internally and have a hard time managing. And we've seen great adoption, double- digit percentage really growing quickly, both within our current installed base and on a new prospect logo. We've definitely continued to see high win rates that we believe are related to the platform offering. It's hard for me to pinpoint how much of that is exactly just because of Adaptive, but I think it's a great contributor to the overall story and value prop.
Jing Zhang: Awesome. My follow-up would be a quick follow-up on Agentic Commerce. So in the press release, you put out with HUMAN, you mentioned there is about 2x higher risk traffic driven by Agentic traffic volumes. So can you expand on some of the risky traffic that you saw? And also, does it ultimately help increase demand for any type of Chargeback Guarantee offer that merchants will now seek with the higher risk associated with Agentic?
Eido Gal: Yes. So what we see time and again is with every new type of flow in e-commerce, fraudsters are early adopters because they understand exceedingly well that protections are usually put in place later in the game. So just by the virtue of kind of fraudsters being early adopters and to be clear, what's happening here is that you see stolen credit cards being loaded into some of these kind of agents that perform the commerce, and that's really the MO -- the main MO that we're seeing. So I think that's driving the initial bump in fraudulent activity, the challenges that merchants have in identifying some of this traffic. At the same time, I do want to kind of level set that it is still nascent. But obviously, we have to position ourselves in this kind of incredibly strategic field. So that's what we're seeing today.
Operator: Our next question coming from the line of Ryan Tomasello with KBW.
Ryan John Tomasello: Just in terms of the implied second half guidance, I think that suggests revenue growth at the midpoint in the low single-digit percentage range. Agi, can you just help us unpack. I think there's just mainly 2 moving pieces there in terms of lapping last year's large customer churn. And then I also think you guys have called out this billing versus revenue growth dynamic that I think was an important delta to call out, especially into year-end. So if you're just able to give us what the implied 4Q exit growth rate is in the implied guidance range on a normalized basis, that would be helpful, whether that's on billings or revenue, whatever you think is a better number to look at here?
Aglika Dotcheva: Sure. So you pointed out exactly some of the main 2 reasons why we expect to see on the billings, some of the acceleration in Q4. It's not evident in revenue just because of the accounting, the way it works. But as an exit rate, we are on track, and we are building and executing towards double revenue -- double-digit revenue growth in 2026. This is our North Star. This is what we're executing and nothing has changed.
Ryan John Tomasello: Okay. Great. And then just on the competitive front, you guys have clearly made some great strides expanding the breadth of the product set as you're evolving more into a platform solution. I think you've called out in your prepared remarks, some nice competitive wins from another player in the core Chargeback Guarantee product. But just bigger picture, if there's any color you can provide on just how you're seeing the competitive landscape evolve, particularly relative to next-gen competitors in the space, how your win rates have been evolving? And if there's any other recent examples to highlight in terms of what might be starting to resonate more here with customers as you've executed on the platform expansion?
Eido Gal: Sure. I'll take that. I mean I think our win rates have been high or remained high in kind of the 70% range for a few quarters now. And I think for us, what we're seeing is that most of the market is still on these legacy solutions. And from a handful of modern ones, it's really -- the field is narrowing in a pretty meaningful way. And I fully expect that over the coming years, the increase in GMV, the amount of e-commerce activity flowing through Riskified will be by far the largest. The reason I think that and I'm optimistic is not just the win rates, it's all the global expansion that we're experiencing, that we're highlighting. It's the entrance into new verticals. If a few years ago, people said, "Hey, maybe Riskified is really tied into Fashion, maybe it's just advancing into Ticketing." I think we're seeing a really strong breadth that we're showcasing, whether it's through remittance and groceries and some of the other categories. So I think that's putting us in a great position. And the continued focus and increase in accuracy further creates distance between us and some of the other smaller competitors. The range of offerings from the platform, whether it's some of the paid offerings like policy or some of the add-ons to chargeback like Adaptive Checkout just continue to create more value and just create a bigger barrier of entry towards other solutions. So that's kind of the slightly longer view on that.
Operator: Our next question coming from the line of Cris Kennedy with William Blair.
Cristopher David Kennedy: Can you just talk about the revenue contribution or the revenue growth from some of the newer products such as Policy Protect, Dispute Resolve or Account Secure?
Eido Gal: Yes. I think similar to the prior quarter, it was well over 100% in the range of -- yes -- 150%.
Cristopher David Kennedy: Okay. Great. And still on track for, I think, I don't know, high single, low double-digit total contribution for this year?
Eido Gal: Correct.
Cristopher David Kennedy: Okay. Great. And then clearly, the repurchase program is out there. But can you just talk about kind of your strategy on the M&A environment or anything you're seeing out there in the market for capital allocation?
Eido Gal: Of course. I mean it remains consistent, right? If there is a good opportunity to enhance our product portfolio and leverage the strategic relationship we have with so many blue-chip publicly traded companies, we'll definitely look to kind of acquire small technologies that we can cross-sell into this great base. We think that there's opportunity to consolidate smaller players that don't have kind of alternative exit options, and we continue to believe that's an opportunity in the medium term. At the same time, we're always looking at current valuations relative to our expectations for the business and making repurchase decisions based on that.
Operator: Our next question coming from the line of Reggie Smith with JPMorgan.
Reginald Lawrence Smith: Congrats on the quarter. I had a question on, I guess, Agentic Commerce as well and maybe just risk more broadly. Could you remind us, I guess, what proportion of the fraud you see is kind of like large coordinated attacks and whether or not that mix has been increasing? And then as you think about Agentic, is the bigger threat in your eyes LLM fraud or maybe purpose-built AI platforms spamming websites or things like that? And I have a follow-up.
Eido Gal: Sure. So I would say there has been an increase in what you would consider kind of professional, coordinated, large-scale fraud attacks. It usually happens as people take over devices with remote desktop hacking. It can happen with large data breaches where people have access to a large number of accounts. And obviously, the exposure to merchants is much larger in those instances. So that's probably the bigger portion of fraud attacks, and that has been increasing. Specifically with regards to Agentic Commerce, what we tend to see is people loading stolen information or stolen cards into these different kind of AI shopping agents, and that's really the attack vector that we're seeing right now, not that the LLMs themselves are being purposely built like for fraudulent reasons because they're just being manipulated or managed in a way that performs fraud.
Reginald Lawrence Smith: Got it. Yes, I was actually more talking about whether -- obviously like OpenAI is not making fraudulent LLMs, but like whether or not that technology and capability and, I guess, coding were being used to make purpose-built fraud engines and things like that. But that's fine. And then last one for me, I guess, with the HUMAN announcement, is that deal exclusive? Do you expect to work with other kind of AI security type vendors? And then lastly, you mentioned something about potentially partnering with LLMs directly. What can you share about those efforts so far?
Eido Gal: Sure. So on our partnership with HUMAN, we do think it creates very unique and differentiated offering, some of their capabilities more on the perimeter to identify bots. And based on that identification, being able to understand more if it's an agent or a bot just for various pricing activities and whatnot. And as we think about the LLMs themselves, if you think about, "Hey, I'm creating a dedicated shopper that's doing everything end-to-end, including the purchasing process." That's when you have a risk component on the shopper and you would need to query a service like Riskified in order to make sure that you have safety and guaranteed and there's trusted commerce in this place.
Operator: Our next question coming from the line of Clarke Jefferies with Piper Sandler.
William Clarke Jeffries: I wanted to ask about the proactive renewal effort this year with some larger contracts. Wondering if you could comment on what the renewal rate was this quarter and if there's any way to size the renewal cohort that's coming in the back half? And then I have one follow-up.
Eido Gal: Yes. It's been 100% success rate for kind of similar to prior quarter and feel great about that. I think that we've continued to focus on creating unmatched value. Even though we've had slightly below gross margin expectation H1, we've continued to focus on creating great outcomes for our merchants. And we think they really appreciate that, and that's kind of showing through in some of the renewal numbers that we've been seeing. At the same time, we have kind of seen a more positive quarter-to-date improvement so far in Q3. So we're also happy with how both of these things are progressing.
William Clarke Jeffries: Perfect. And then you called out a large merchant in the Ticketing and Live Events vertical moving over remaining volume. Could you talk about what catalyst was the decision for that vendor? And broadly, the upsell that you're seeing in the business overall, is that being led by volume or by Policy Protect?
Eido Gal: Yes. Great question. So this is a merchant that started with kind of really a unique segment. I think they were sending anywhere from 5% to 10% of their volume to some manual review queue, and then we were able to fully automate that 5% to 10% at a similar cost structure, probably even slightly better with great approval rates. They saw the performance there for a number of months. We were already integrated, and then the upsell happened. Really, we were able to offer them higher approval rates, better performance, I think, in the range of 50 basis points for guaranteed cost savings, right, probably a 20% reduction in their overall cost of fraud. At the same time, they also did deploy our policy solution. And then it's looking for brokers that are creating a substandard customer experience where there's a lot of kind of deny at gate for the events and being able to block them proactively. So that was definitely, I think, a consideration when they thought about the -- going for the entire shop volume.
Operator: Our next question coming from the line of Clark Wright with D.A. Davidson.
Clark Joseph Wright: So there's been a strategic focus on expanding the role of Riskified in the payments -- or the broader payment space. Can you talk about how you guys have been -- have progressed this last quarter and how you expect to accelerate growth going forward in this space?
Eido Gal: In the Payments and Remittance space, I think, look, similar to other areas, we see once we've had success and are able to create both custom features and models and understand the somewhat unique risk characteristics of a vertical, it just helps us provide more value to other merchants in that vertical together with the brand and name recognition that we start to have. And I think that's a strategy that's worked well in Fashion and in Tickets, and it's one that we're doubling down on for Payments and Remittance as well.
Clark Joseph Wright: Appreciate that. And then there's a notable AI spokesperson who a few weeks ago called out an AI fraud crisis. And I'm just wondering how Riskified is positioned to help merchants in this scenario handle this growing issue?
Eido Gal: Look, for us -- it sounds terrible to say it, but an increase in fraud and the complexity of the world of fraud is a positive as fraud becomes more complex and challenging and as you see attacks lead to an increase of things like social engineering and people taking over devices and doing what we call kind of sophisticated fraud. An individual merchant has a harder time managing all of this, and they need a platform similar to Riskified for all the various use cases, right? And if you think even a few years back when we were just talking about Riskified, it was like, "Okay, this is a solution that helps identify credit card fraud." And now you have things like Adaptive Checkout and you have Policy and you have Dispute Resolve and you have identifying Agentic Commerce and being able to create role around that. So all this complexity means that it's much more challenging to solve internally, which ends up being a net benefit for us.
Operator: I'm showing no further questions in the queue at this time. I will now turn the call back over to Mr. Eido Gal for any closing remarks.
Eido Gal: Thank you, everyone, for joining us on today's call, and we look forward to updating you on our progress in the quarters ahead.
Operator: This concludes today's conference call. Thank you for your participation, and you may now disconnect.